Operator: Good afternoon, ladies and gentlemen, and welcome to the Vapotherm Fourth Quarter and Fiscal Year 2019 Financial Results Conference Call. As a reminder, this call is being webcast live and recorded. It is now my pleasure to introduce your host, Mr. Mark Klausner of Westwicke. Please go ahead, sir.
Mark Klausner: Good afternoon and thank you for joining us for the Vapotherm fourth quarter and fiscal year 2019 financial results conference call. Joining us on today's call are Vapotherm's President and Chief Executive Officer, Joe Army and its Vice President and Chief Financial Officer, John Landry. I would like to remind you that this call is being webcast live and recorded. A replay of the event will be available following the call on our website. To access the webcast, please visit the Events link in the IR section of our website, vapotherm.com. Before we begin, I would like to remind everyone that our remarks and responses to your questions today may contain forward-looking statements covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on the current expectations of management and involve inherent risks and uncertainties that could cause actual results to differ materially from those indicated, including those identified in the Risk Factors section of our Annual Report filed on Form 10-K for the year ended December 31, 2019, which was filed with the Securities and Exchange Commission on March 04, 2020 and in any subsequent filings with the Securities and Exchange Commission. Such risk factors may be updated from time to time in our filings with the SEC, which are publicly available on our website. We undertake no obligation to publicly update or revise our forward-looking statements as a result of new information, future events or otherwise, unless required by law. This call will also include references to certain financial measures that are not calculated in accordance with Generally Acceptable Accounting Principles or GAAP. We generally refer to these as non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most comparable measures calculated and presented in accordance with GAAP are available in the earnings press release on the Investor Relations portion of our website. With that, it's my pleasure to turn the call over to Vapotherm's President and Chief Executive Officer, Joe Army.
Joe Army: Good afternoon and thank you for joining us today. I will begin by discussing the progress we made in fourth quarter, then I will hand the call over to John Landry, our CFO, to provide financial details of our fourth quarter and 2019 results and as well as our 2020 guidance, after which I will update you on our key areas of focus for 2020 before taking questions. Fourth quarter was a pretty good quarter for us across the board. We delivered on our revenue, gross margin and operational expenses guidance. Big picture revenue grew by 11% led by 21% growth in disposables. Gross margins were 45.1% and our cash burn improvement program is in place for 2020. Operationally, we completed a 10% expansion of the U.S. field sales organization. The installed base grew in line with our expectations. The turn rates in our gold ED accounts continue to perform well. Our product development efforts are progressing according to plan, and we completed a limited market release of two new high clinical value products, disposable products. We have our national sales meeting in early January and I like what I'm seeing with our U.S. field teams. Their energy is good. They're excited about the new disposable products we launched in the first quarter. And as these reps gain more time in the territory, their pipelines are developing nicely. The fourth quarter expansion went smoothly. We liked the talent level of the new hires and are pleased with how our legacy reps have grown and matured as medical technology sales professionals. Speaking of the new disposable products, we completed our limited market release of both the ProSoft patient interface and the integrated aerosol drug delivery Hi-VNI technology disposable in the fourth quarter. As a reminder, these products will provide additional clinical value to our customers and carry premium pricing, which will be helpful to our ASP and gross margin. The field team has rolled into the full market release and we're happy with all the products are performing at the bed side. Turning now the ED, our focus on this large opportunity continues to progress well. Hi-VNI technology is now being used in more than 250 of the largest EDs around the country. This quarter, our U.S. sales professionals spent more time on opening larger accounts with the ED money back guarantee program. That's a tool that we use to engage clinicians in the sales process. Our Mask-Free NIV for spontaneously breathing patients messaging is simple, clear and compelling. And we stand behind our technology with our unique ED guarantee program. We believe there's a lot of room for us to grow in ED for many years to come. We call that our fourth quarter is when flu season typically begins. So the turn rates tend to be a little higher than the annual number. Our U.S. disposable attorneys came in at 2.06, which is slightly above our historical full year average. Flu season hospitalizations appear to be running at a level consistent with prior years. But on the other hand, we have heard from customers and read selected regional news reports of higher than expected rate of RSV this season in the pediatric patient population. In fiscal year 2019, our ED accounts continue to consume disposables at a higher rate than our non-ED accounts. As we continue to open more of the large ED accounts, we see the potential for the overall turn rates as upwards. We're continuing to forecast with our historical turn rates for the foreseeable future until we establish a new baseline. Our gross margin improvement brand continues to work as planned. Our three-pronged game plan to improve gross margins simple and well understood by our entire company. Selling higher clinical value products, reducing direct product costs and decreasing our overhead rates per unit produced. In this regard, we delivered in the fourth quarter, and we like our plan coming into 2020 to delivery consistent 200 to 300 basis points improvement each year. The Oxygen Assist Module product made good progress in the fourth quarter. We call that oxygen is a dangerous, deadly, life sustaining drug with a narrow therapeutic window. The Oxygen Assist Module will help the clinician keep the patient in a targeted oxygen saturation range. This is particularly important for neonates. We received the CE mark on the Oxygen Assist Module in early first quarter 2020 and have now begun the limited release in certain UK accounts and may expand that limited release to certain European counts during the second quarter. In the U.S., we continue to engage with the FDA and productive exchanges around the appropriate investigational study design and the approval pathway. Our intention is to begin the U.S. clinical trial later this year and are excited about the centers and clinicians that will be leading this important project. With 2019, John, I'd like to take a moment to look back at the year in its entirety. Our disposables grew by 23% this year and now represent 73% of our total worldwide revenue. It was great waking up on January 2nd knowing that roughly 70%, 75% of our 2020 revenue plan is tied to that recurring revenue stream. The installed base grew by 18%, and we had continued success bringing our Mask-Free NIV for spontaneously breathing patients to more of the biggest emergency departments and hospitals in the U.S. Our gross margins improved 470 basis points over 2018, and we believe we're well-positioned for 2020. The product development teams did great work with our new ProSoft patient interfaces. The new integrated aerosol drug delivery disposal and the auction is this module, which we anticipate will contribute to our revenue growth and gross margin improvement plans in 2020. I'm really proud of our team, the sales team we have in place and love what we're building here. Lastly, I want to thank or a longtime board member, Neal Armstrong, for ours contributions to our success over the years and wish him well in his retirement, while also welcoming Lance Berry to the Board. Now I'll turn it over to John Landry, our CFO to provide a financial review. John?
John Landry: Thank you, Joe. Revenue in the fourth quarter of 2019 was $13 million, representing an 11.3% increase over revenue of $11.7 million in the fourth quarter of 2018. Total U.S. revenue was $9.8 million, representing an increase of 8.7% over the fourth quarter of 2018, primarily due to a 21.7% increase in disposable revenue, as a result of a larger installed base of Precision Flow units, slightly higher turn rates and higher average selling prices. This increase in disposable revenues is partially offset by a decrease in capital revenue on a year-over-year basis. Total international revenue was $3.2 million, representing an increase of 20.2% over the fourth quarter of 2018, primarily due to an increase in disposable revenue as a result of the larger installed base of Precision Flow units and higher average selling prices and to a lesser extent increases in service and other revenue. Capital revenue including revenue from both product sales and lease revenue was $2.9 million in the fourth quarter of 2019, representing a 10.3% decrease over the prior year. U.S. capital revenue is $1.9 million, as compared to 2.3 million in the fourth quarter of 2018, primarily due to lower average selling prices as a result of mix. International capital revenue is $982,000 in the fourth quarter of 2019, an increase a 46,000 over the fourth quarter of 2018. Disposable revenue is $9.7 million in the fourth quarter of 2019, representing a 21.4% increase over the fourth quarter of 2018. It was primarily driven by an increase in our worldwide installed base of Precision Flow units and higher average selling prices. During the fourth quarter of 2019, we sold roughly 96,000 disposables worldwide. Disposable revenue was $7.7 million in the U.S. compared to $6.4 million in the fourth quarter of 2018, representing 21.7% growth year-over-year. This growth was driven by 14% growth in our U.S. installed base, slightly higher disposable turn rates on a year-over-year basis, and increased average selling prices of roughly 1.2%. International disposable revenue is $1.9 million compared to 1.6 million in the fourth quarter of 2018, representing growth of 20.2%. This growth was driven by 28% growth in our international installed base and higher average selling prices in the international markets, which were partially offset by lower year-over-year disposable turn rates. Worldwide service revenue was 411,000 in the fourth quarter of 2019 and there's about 153,000 was terminated in the U.S. and 258,000 was from international markets, which increase due to greatest service revenue generated in the UK. Gross profit in the fourth quarter of 2019 was 5.9 million to an increase of approximately 1 million over gross profit of 4.8 million in the fourth quarter of 2018. Gross Margin was 45.1% in the fourth quarter of 2019 compared to 41.2% in the fourth quarter of 2018. The increase in gross margin was primarily driven by increased worldwide disposable ASPs, increase capital ASPs, a decrease in disposable component costs and comparison to the fourth quarter of 2018 and a favorable sales mix of disposables. Research and development expense was 3.7 million in the fourth quarter of 2019 and increase of 959,000 over the prior year. The increase in research and development expenses primarily due to new product development costs associated with our oxygen assists module and next gen hygienic platform. Sales and marketing expense was 9.9 million in the fourth quarter of 2019, an increase of 307,000 over the prior year. The increase in sales and marketing expenses primarily due to the fourth quarter of 2019 U.S. sales force expansion and corresponding compensation travel and employee related expenses, and other sales and marketing initiatives. General and administrative expense was $5 million in the fourth quarter of 2019, an increase of 1.6 million over the prior year. The increase was primarily due to public company related costs, including increased headcount and employee related expenses, legal fees, accounting and compliance costs and consulting fees. Net loss in the fourth quarter of 2019 was $12.5 million or $0.60 per share, compared to $12.9 million or $1.39 per share in the fourth quarter of 2018. Adjusted EBITDA for the fourth quarter of 2019 was a negative $10.8 million, compared to a negative $10.2 million in the fourth quarter of 2018. Adjusted EBITDA, adjusted foreign currency gains or losses, net interest expense, changes in the fair value abort liabilities, gains or litigation settlement, loss on debt extinguishment, income tax benefit, depreciation and amortization expense and stock based compensation. The $584,000 increase in adjusted EBITDA loss in the fourth quarter of 2019 was primarily due to higher operating expenses partially offset by higher gross profit. As of December 31, 2019, cash and cash equivalents was 71.7 million, compared to 83.5 million as at the end of September 2019 and 58.2 million as of the end of December 2018. In the fourth quarter of 2019, our cash burn was 11.9 million, an increase of 1.1 million from the third quarter of 2019 due to public company related costs, including D&O insurance premiums, and accounting expenses, legal fees, the expansion of our U.S. sales force and investments in our product pipeline for products launched in the first quarter of 2020. Please note that third quarter cash burn calculation excludes the impact of our follow on offering. Now turning to guidance. For the full year 2020, we expect revenue to be between 52.9 million 54.5 million, which represents a year over year increase of 10% to 13%. For the full year 2020, we expect gross margin to be in the range of 46.5% to 47.5%. For the full year 2020, we expect operating expenses to be in the range of $71 million to $73 million. Given the timing of our new product launches and national sales meeting as well as limited release of our Oxygen Assist Module, I expect operating expenses to be weighted slightly more heavily in the first quarter of 2020. For the first quarter of 2020, we expect revenues to be $13.4 million to $13.9 million, representing growth of 9% to 13% over the first quarter of 2019. I want to give you a heads up on an accounting change that will implement in 2020. Going forward, a small portion of the revenue stream attributable to our disposable sold to customers who systems are under pricing arrangements will be classified as capital product revenue. There will be no impact on total revenue, just a reclassification of a small portion of this recurring revenue stream between product revenue categories. This concludes my remarks, and I'll turn it back over to Joe.
Joe Army: Thanks, Johnny. Before opening the line for questions, I'd like to review how we intend to focus our efforts in 2020. First, we intend to drive top line growth by executing on our Gold ED strategy, increasing the installed base and launching the new Oxygen Assist Module system in the U.K. and EU. Second, we intend to improve our gross margin by 200 basis points to 300 basis points by selling the two new high clinical value disposables, the ProSoft patient interface series and the integrated aerosol drug delivery Vapotherm disposable, reducing our direct product costs and leveraging our overhead and production capacity. Third, we intend to reduce our cash burn by revenue growth, gross margin expansion, leveraging our previous operational expense investments and driving working capital efficiencies. Lastly, we intend to plant the seeds for future growth and margin improvement by continuing to develop our next generation Vapotherm platform, expand the sales force yet again in the second half of the year, and publish more clinical evidence on our effectiveness at providing ventilatory support for hypercapnic patients as compared to BiPAP. The more U.S. investors understand what we do and how we make the clinicians and patients feel, the clearer you will understand the opportunities and challenges in front of us as we attempt to change clinical practice. To provide you with a little more insight into this, I want to share a patient story with you from last quarter. It comes from one of our new customers. We have just started using Hi-VNI Technology at the hospital. And I recall learning that it could reduce CO2 in patients. Shortly thereafter, I had a women in the emergency department in her mid-40s who presented with pneumonia, who is on 4 liters nasal cannula with the respiratory rate in the high-30s, working very hard to brief and was visibly uncomfortable. The ED doctor ordered an arterial blood gas, which showed CO2 of 77. The doctor ordered BiPAP to which the patient refused due to her claustrophobia. This was also around 7:30 PM and ED doctor was about to end their shift. So, they were leaning hard to intubate, if things didn't change. I told them about Hi-VNI Technology and asked if they would try it. The doctor was skeptical, but agreed. After going on Hi-VNI Technology, within a few minutes, the patient's respiratory rate had returned to the mid to low-20s and she was visibly more comfortable. The ED doctor was surprised and pulled me into an unattended room for me to educate her and several nurses on Vapotherm. The ED doc went and got the other physicians to look at how well this therapy was working, and they too want an education on it. The repeat blood gas at two hours post showed a much better CO2 of 52 and the woman was relaxed and resting. Two hours later, she is ready to be admitted for 24-hour observation with the CO2 of 42. It was this woman who not only opened my eyes to the usefulness of Hi-VNI Technology, but also opened the doors in the ED for this therapy. In conclusion, I'm feeling good with how we performed in the fourth quarter and how we are set up for 2020. In 2019, our installed base is on track with expectations. Disposables grew by 23%, and now represent approximately 73% of our total revenue. Gross margins were 44.3% in fiscal year 2019 and the expanded sales force is coming along nicely. Thank you for trusting us with your capital. It means a lot to us. Now, I'd like to open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Margaret Kaczor from William Blair. Your line is open.
Margaret Kaczor: Just wanted to walk through maybe first the growth drivers, both in the fourth quarter and then what you guys assume for 2020. And it's kind of a multi-faceted question. So growth within new versus existing accounts and that's particularly augmented by that penetration into the ED channel that you guys keep referencing. So as we think of 2020, now that you've seen some good traction in EDs in 2019, should that have a bigger impact or how should we think about that scaling up?
John Landry: Hi, Margaret, it's John speaking here. Good afternoon. So in terms of our fourth quarter progress, in terms of the ED, specifically, that was a major driver for us for the growth in the fourth quarter, continuing along with our ED program specifically focusing in on the Gold accounts in particular. Those were very helpful and a big driver for our revenue in the fourth quarter. In terms of those ED Gold accounts that typically going into the current customers, where we are expanding our installed base in those ED Gold accounts and they're typically ordering larger volumes to make sure they have enough equipment for the patients when they arrive in the ED, as well as move to other areas of the hospital. So, that's been a key focus for us in 2019. We saw a nice progress again in the fourth quarter '19 and look to see more of the same going into 2020.
Margaret Kaczor: Okay. So from your perspective, do you think that some of these placements are paying off in terms of additional orders? So, maybe they ordered 50 in 2019. And the second sale, as you go into 2020, they would order another 50 or 100. And you think that's the same, or could it kind of be expanded, I guess, beyond the benefit you saw in '19?
John Landry: So from a modeling perspective, we're modeling it to continue, as we've seen it in 2019. We are seeing a little bit of an uptick in our utilization rates that we posted in the fourth quarter of 2019, three of the last four quarters had a slight uptick versus historical purchasing patterns. We attribute that to the ED Gold progress -- Gold account progress. We expect to see it continue. We expect to see reorder rates and potentially a slight uptick, but there are a couple of quarters in 2019, the first quarter and the fourth quarter, which are the flu season in the first quarter and the fourth quarter is the start of the flu season, particularly RSV. So, it's tough to drive a very specific conclusion that this is the direction we're going to go into, but we're going to leave it -- we're going to leave our modeling as is going forward from a DPC utilization perspective.
Margaret Kaczor: Okay, that makes sense. And then, in terms of the aerosol delivery products, how should we size that market for us, the initial launch plan for you guys as well as the impact in the near term, whether it's units or ASPs?
Joe Army: Well, I'm not sure I think it's -- I don't think you're going to see a whole lot of impact, Margaret, in the near term because we've just begun our limited market release in one country and in a handful of accounts. Remember, a lot of what we're doing right now is to really dial-in on what is the appropriate business model here. There are three pieces that we're trying. So, we're going to really work hard to make sure we get that right before we begin to move beyond that in any shape, form or manner. So if I was you, I would be thinking about it, starting to maybe start to show up in our P&L later in the second half of the year. I think that's probably right. And in terms of sizing the market, like I said, we are still early in the limited market release. So, we're going to be talking to you folks again in another 60 days with our first quarter number. So, I think we will have a little bit more understanding then, and we will be able to share a little bit more with you there to be able to size it.
Margaret Kaczor: Right, and then just if I could, one last question. Just a follow-up, John, on your last comments at the end, you kind of reflected a little bit of an accounting change for the placement revenue. So, can you give us a sense of how big of a change that will be, and how should we think about that growth by category throughout the year? Thanks.
John Landry: Sure. So from an accounting change perspective, it's a reclassification of the recurring revenue between disposables and capital. It's a relatively immaterial amount -- very small amount. We'll provide a little more color after the first quarter call in terms of the magnitude of that. But from an accounting perspective, it's a material to our financial statements.
Operator: Your next question comes from the line of Jason Mills from Canaccord Genuity. Your line is open.
Jason Mills: Couple of questions, Joe, or you can hand it over to John whichever. I wanted to start by just asking your perspective on sort of the topic du jour coronavirus. And just be interested to hear your perspective specifically on what clearly is an evolving situation both from VAPO's perspective as well as sort of your perspective on it overall. Could this potentially be a positive for you from a capital sales perspective? I certainly don't want to get out of my skis here on it, but just would love your perspective, as I'm sort of thinking about this from the standpoint of expanding treatment volume with this crisis as fast as possible, if I'm a hospital, and Joe, the Philips NiPPV capital being two times to three times more expensive versus Hi-VNI. This seems to set up well for you and would love your perspective.
Joe Army: Well, it's something we've given a lot of thought to. These patients show up in the hospital with pneumonia. And COVID-19 at the end of the day is a form of pneumonia, right, and they are in respiratory distress. So, it's reasonable to expect that to the extent that hospitals that are customers of ours now are experiencing COVID-19. Pretty good chance that they're going to be using our technology on those patients would be my guess. In terms of what it would do to our business, we spent more time thinking more about making sure we got our supply chain ducks in a row. As you know, we've spent last couple of years getting most of our supply chain organized, so that it's really a domestic U.S. focused supply chain, and our factory here is in New Hampshire. So, we've bumped up our production a little bit. We've bumped up our safety stocks a little bit. We're going to make sure that we are going to be able to meet the needs of whatever our customers need. We're going to be communicating with them in the next 24 hours, letting them know that, making sure that they understand that there is no need to buy extra products. We're going to be able to take care of whatever they have. And I've talked to some of these customers in the last 24 hours, 48 hours. And what I'm hearing from them is kind of a mixed bag. I'm hearing in some hospitals, they're not doing a whole lot. They are looking at it a lot like the flu. And in some hospitals, they are doing more -- doing a little bit more planning and preparation. So, I don't -- I think it's probably from a supply chain point of view, we're all set, not a problem. I would be really surprised, if I had an issue there. From a where we sell more boxes and that kind of thing, it became hard to press, Jason. If they're not already using our technology now, this should be pretty, pretty rough time to go learn how to do it, right. I mean this one is for keeps. So, I would really not expect to see that. So, if there is anything, it could be a bump. But on the other hand, if it lasts for a while or it gets more serious, I just saw that Italy just closed all their schools in the country for two weeks. So, we think about that kind of thing too, and does that create complexity for our employees and our workforce and how do we plan for that, which I think we're doing a pretty good job of. So net-net, we're in a wait-and-see category and we just want to be prepared to support our customers.
Jason Mills: Good perspective, Joe. I appreciate that. Just moving on, wanted to talk a little bit about your overall philosophy. It seems clear to us. I think a lot of your investors that you're really focused on the disposable revenue growth and for good reason, obviously. And so, what does that imply as we not only look at 2020, but over the next couple of years? With respect to your capital sales strategy, you clearly have had various models that you're willing to deploy to increase your installed base with the latter comment being the chief focus. So talk to us, maybe a little bit about if you want to sort of confine the comments within the context of your guidance where we talk about how we should think about the capital revenue growth comparing to the disposable revenue growth. Clearly, the latter being the focus and tell me if I'm wrong about that, but any comments there would be helpful.
Joe Army: Got it. So, I'm going to talk briefly about the business model. And then, Johnny is going to talk to you a little more about the modeling. I will tell you the business model hasn't changed. We are working with some larger accounts which means we're placing a few more boxes. We've got more reps, so that I would place in a few more boxes. But at the end of the day, we're very focused on growing that installed base. Last year, that installed base grew 18% plus and I think the disposables grew into the low-20s. So selling capital equipment is an important part of what we do and we're going to continue to do it. There's a lot of value around this technology, but at the same time, if there is an opportunity for us to increase that installed base and get those disposables turning, we really want to do that, Jason, because 70%, 75% of our revenue today comes from that recurring revenue stream and we really like that a lot. John?
John Landry: Yes. I agree with that, Joe. So, selling capital is something we have done, and we will continue to do. So from a modeling perspective, as I think about the guidance, we don't break out specifically capital disposable or service revenue independently of each other for external purposes. In terms of -- directionally, I think we grew our installed base. As Joe mentioned, 18%, look to be in the mid-teens this year as well to drive that disposable utilization -- drive that disposable revenue up year-over-year and continue to grow that and make sure we have an installed base that continues to support the growth in our disposable revenue stream, as a percentage of total revenue.
Jason Mills: That's helpful, guys. I appreciate that. And then, I sneak in a multi-part third question, just because that's what I do I guess. But anyway specifically to product development and future pipeline, first, Joe, on the OEM in the United States, talk to us about what we should expect to hear from you with respect to your conversations with the FDA and plans to get that product ultimately to the U.S. market. And then, also talk to us a little bit about the next generation platform and what that will entail and how you think it could be incrementally disruptive to the competitive landscape in your favor. Thanks for taking all the questions.
Joe Army: So, Jason, just for the record, that was the third question, but you asked it in two parts at least. So, I think -- not a whole lot that I'm going to be able to share with you beyond that. We have met several times with the FDA in having very -- what we would characterize as very productive conversations with them. This is a complex piece of work. There is no other closed loop control system that's cleared in the United States in the respiratory space. So, it's new ground for FDA. I would tell you the big thing to watch for from our side, as we work through this with FDA, is it will be our intention that we'll start an important clinical trial here in the United States. My expectation is, we will start that in the back half of 2020. So, I think that would be the thing to watch for there. And of course, we'll let you know when we get that thing running. And with respect to our next-gen system, I think we're feeling pretty good about that. Guys made a lot of great progress on it in 2019, and we're still looking at having it on our first patients here by the end of this year, early next. And we think that it's going to be a pretty cool product. So, can't wait to get it out in the market.
Operator: Your next question comes from the line of Marie Thibault from BTIG. Your line is open.
Marie Thibault: Yes. Joe, I wanted to start, you sounded really optimistic when you talked about the progress your reps are making. And I just wanted to see if I could dig a little bit deeper on that. And if you could just talk about kind of the productivity ramp you're seeing with these reps, as they're starting to I think lap their one-year anniversaries with the firm.
Joe Army: So, just to be clear, I'm a generally optimistic person to begin with, right? So I wouldn't read a whole lot into that. I would tell you that I am pleased with what I'm seeing out of the field. I think that the teams have really settled down. I think that our leaders have done a really good job. It was great to see two-thirds of our legacy B2B reps in the third quarter delivered on their commitments around installed base, and we saw similar in the fourth quarter. We just completed a 10% expansion and there was no drama. I mean it was pretty quiet and pretty chill and everybody went to work and we had our national sales meeting in middle of January, and that was good. And now they've got two very cool brand new disposable products with much higher clinical value to go and sell in the bag. So I don't know -- I'm feeling good about what they're doing, I like what I'm seeing and let's go see some more.
Marie Thibault: Yes, sounds good. No drama is a good thing. Joe, just to touch on the two new disposable products, the high clinical value products you have there, I'd love to hear a little bit more about how that launch is going to progress throughout the year, now that you're done with the limited market release.
Joe Army: So we -- great question. So, we kicked that off at the national sales meeting and we really started shipping product to customers in our full market release fashion in the early part of February. But if you recall that one is a ProSoft line of advanced cannulas that are made of a very soft material and we're getting really good feedback from both our customers as well as we're actually hearing from patients about how much -- how they like this. And the second one is our aerosolized disposable patient circuit where we've actually integrated aerosolized drug delivery into the disposable and that's gone very well as well. I mean, we're getting to see that -- we actually hit the season pretty good because RSV is really where they're going to use a lot of this. So, we like the way both of them are playing out. It's still early days. We don't have a lot of revenue in our plan for this as you might expect, but we feel pretty good about what we've seen so far.
Operator: There are no further questions at this time. Mr. Joe Army, I'll turn the call back over to you.
Joe Army: Well, I want to thank you all for your interest in Vapotherm. We really appreciate it. We look forward to updating you on our progress again next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.